Operator: Thank you for standing by. My name is Annie, and I will be your conference operator today. At this time, I would like to welcome everyone to the Ventas First Quarter 2025 Earnings Call. [Operator Instructions] It is now my pleasure to turn the call over to BJ Grant, Senior Vice President of Investor Relations. Please begin.
Bill Grant: Thank you, Annie and good morning, everyone, and welcome to the Ventas First Quarter 2025 Results Conference Call. Yesterday, we issued our first quarter 2025 earnings release, presentation materials and supplemental information package, which are available on the Ventas website at ir.ventasreit.com. As a reminder, remarks today may include forward-looking statements and other matters. Forward-looking statements are subject to risks and uncertainties and a variety of topics may cause actual results to differ materially from those contemplated in such statements. For a more detailed discussion of those factors, please refer to our earnings release for this quarter and to our most recent SEC filings, all of which are available on the Ventas website. Certain non-GAAP financial measures will also be discussed on this call. For a reconciliation of these measures to the most closely comparable GAAP measures, please refer to our supplemental information package posted on the Investor Relations website. And with that, I’ll turn the call over to Deborah Acuffaro, Chairman and CEO of Ventas.
Debra Cafaro: Thank you, BJ. I’d also like to welcome all of our shareholders and other participants to the Ventas 2025 earnings call. Today, we’ll highlight our positive financial performance and growth, our increasing investment activity, and our advantage position capitalizing on the multiyear NOI growth opportunity in senior housing. As we execute on our 123 Strategy, the value proposition for Ventas remains clear. We are focused on delivering superior, multiyear growth fueled by internal and external expansion in our senior housing business, which is benefiting from secular, demographically driven demand and catalyzed by our advantage platform. We expect to be a top grower in the REIT space, projecting 7% normalized FFO per share growth 2025. We possess an excellent financial profile that is improving, and we offer a 3% dividend yield that contributes to total return. Our strong first quarter results highlight our strength and our favorable relative positioning across the broader real estate and corporate landscape. Ventas delivered $0.84 of normalized FFO per share in the first quarter, an increase of approximately 8% powered by our senior housing operating portfolio. SHOP’s 14% year-over-year cash same store NOI growth resulted from meaningful increases in occupancy and rate. Compelling demand supply fundamentals have combined with our operational and portfolio initiatives to create an unprecedented extended opportunity for us to generate multiyear organic NOI growth. Demand remains strong as the over-80 population is experiencing its highest ever growth, and more residents and their families are choosing senior living for the benefits it provides. The over-80 population is increasing by about half a million people this year and again next year, and that number jumps to 900,000 a year between 2027 and 2030. Meanwhile, on the supply side, the number of new senior housing units started in the first quarter of 2025 was the lowest on record at only 1,287 units. Current supply constraints likely extended because of hard cost increases and labor scarcity, coupled with the step function in senior population growth, creates strong and long tailwinds for NOI and occupancy growth in senior housing. And our senior housing portfolio is positioned to capitalize on this unprecedented opportunity. Our communities are located in markets that exhibit over a 1000 basis points of expected net absorption in the coming years, and resident affordability is outstanding. We also continue to increase our participation in this multiyear NOI growth opportunity by executing on our acquisition strategy focused on senior housing. Our investment momentum has continued into 2025, and we see compelling opportunities ahead. We have already closed most of our original billion dollar investment guidance in attractive senior housing communities, and we are now increasing our full year volume expectations to $1.5 billion. These investments should enhance our future enterprise growth profile and our value for shareholders. Even more encouraging, our pipeline is expanding as more sellers bring assets to market, our skilled investment team has grown, and we continue to leverage our data, financial, and relationship advantages to capture attractive opportunities. Within senior housing, we are eager to deploy capital whenever we believe we can achieve compelling risk adjusted returns and create value. The balance of our portfolio, led by our Lillibridge managed outpatient medical business, continues to perform well. Outpatient medical delivered solid compounding growth and continues to benefit from outsized increases in the over age 65 age group, ongoing trends favoring lower cost care delivery settings, and our competitively advantaged Lillibridge property management and leasing business. Finally, we are delivering on our commitment to financial strength and flexibility. Year-to-date, we’ve accelerated our progress on our credit profile, improving both our leverage and our liquidity. At this early stage of the year, we are pleased to reaffirm our normalized FFO per share guidance of 7% growth and confirm our expectations that our SHOP business will represent over half of our NOI by year-end. While acknowledging that the current macroeconomic backdrop presents a high degree of uncertainty, when you step back, Ventas occupies an enviable position in today’s environment. Both sides of the senior housing demand supply imbalance are tipped in our favor, and those conditions should improve materially over an extended time horizon. We have the potential to continue to increase shop revenue from both rate and occupancy growth. Our business model has limited impacts from tariffs and global trade. We have access to attractively priced capital, possess excellent liquidity and a strong balance sheet, and we are well positioned as a preferred acquirer who will get more than our fair share of attractive investments. Coupled with our experience and platform, we’re in an excellent position to outperform and as we’ve said, the whole Ventas team is in it to win it. Justin, I’m happy to turn the call over to you.
Justin Hutchens: Thank you, Debbie. I’ll provide updates on first quarter senior housing performance and our investments. I’m pleased that we delivered excellent results on both fronts. I’m happy to report that SHOP delivered double digit NOI growth for the eleventh consecutive quarter as we continue to execute through the OI platform. Our efforts support real time community specific strategies that align with market demand and importantly are executed in partnership with our best-in-class operators. Total SHOP same store cash NOI growth was 13.6%. Revenue growth was 7.4% led by occupancy and rate. In terms of rate, we saw solid underlying pricing from internal rent increases averaging 7%, and very importantly, street rates are trending favorably. Expenses were roughly in line at 5%, and labor expenses were favorable. Same store SHOP occupancy grew by 290 basis points led by the U.S. with occupancy growth of 330 basis points and NOI growth of 16%. The U.S. also significantly outperformed NIC on both rate and occupancy year-over-year growth. The incremental margin was about 50% for the first quarter driven by the operating leverage in the business as we grow occupancy. Demand and move ins in the quarter were strong, and year-over-year occupancy was very good. However, we experienced some seasonality with elevated clinical move outs in March, which causes our jumping off point for occupancy to be a bit lower than expected for the second quarter. The sad part of our business and in fact, when people pass away. It’s also unpredictable. That said, per usual, the key determinant of occupancy for the full year is the timing and slope of the key selling season, which starts today. We are excited about the upcoming months as we expect strong move ins in the second quarter. As we look at the balance of the year, we anticipate another excellent year of SHOP performance, and we are reaffirming our same store full year guidance in our SHOP portfolio of cash NOI growth of 11% to 16%. Now I’d like to highlight our approach enhancing our portfolio composition. I’ve worked with my experienced and very capable team through deliberate actions over time to ensure that we are located in the right markets, right assets, and with the right operators. These deliberate actions, all of which are underpinned by our OI data analytics platform, include acquisitions, dispositions, conversions from triple net to SHOP, transitions to new operators, OI driven operational improvements, and CapEx investments to improve our competitive position. This journey to curate the portfolio has been well underway for a while. However, all things considered equal, the best is yet to come. To our actions to date, our portfolio is positioned with significant embedded occupancy and NOI growth potential. By design, two thirds of the portfolio is in the low 80% occupancy with significant upside opportunity. One example of how we are positioning the portfolio for future growth is our decision to convert 45 Brookdale communities from triple net to SHOP with new operators later this year. These communities are performing really well year-to-date and offer significant upside. We expect to double the NOI in these communities from approximately 50 million to a 100 million plus over time. The five operators we have selected for the transitions are enthusiastic and highly engaged in the transition process. We’ve also expanded our operator base from 10 to 33, enhancing our ability to grow in high demand markets. This includes a new shop relationship with an operator in the U.K. Growing our operator base is important since our 75% of senior housing operators manage fewer than 50 communities in what is a highly fragmented sector. Adding operator relationships is essential to obtaining scale and density in markets as well as expanding our relationship driven investment opportunity set. Our community refresh program has progressed as planned. We’ve completed over 250 community redev projects in the past two and a half years. However, there is more work to be done with a hundred more projects expected to complete by year-end, strengthening our competitive positioning and setting the table for the opportunity to drive outsized NOI growth over time. As we look ahead, our enhanced portfolio composition provides a powerful foundation to capitalize on historic demand growth unfolding in senior housing. With a deep bench of high quality operators, a growing presence in the right markets, and a well positioned asset base undergoing continual improvement, we are strategically positioned to deliver strong, sustainable performance. Moving on to investments. We continue to capitalize on our advantage position as Ventas is a senior housing partner of choice with sellers, brokers, the entire investment community. We have continued to execute on our accelerating run of value creating external growth focused on senior housing in the first quarter. We’ve closed approximately 900 million in senior housing investments year-to-date and 2.8 billion since the beginning of last year, with most of that completed in the last six months. These investments meet our key criteria of 7% to 8% expected year one NOI yields, low-to-mid teens unlevered IRRs, accretive growth, and pricing well below replacement costs. The activity significantly expands our SHOP portfolio, adding 20 newer vintage communities across eight states, including 11 in high demand Texas markets, with strong net absorption potential and over 1,500 basis points of uncapped net demand over the next few years. These communities offer a full continuum of care and are operated by six high quality managers, including three new operator relationships with strong local execution. The underwritten returns are attractive as we are expecting year one NOI yields of around 7.2% on average and a 10-year unlevered IRR in low to mid-teens. We’ve also been encouraged by the initial post-closing performance of the 1.8 billion in senior housing acquisitions closed in 2024. Actual NOI is in line with underwriting at a blended yield of 7.7% in the first quarter of 2025. Our investment pipeline is active and growing as we have now reviewed approximately 30 billion of senior housing senior housing investments, bid on 9 billion and closed on 2.8 billion all since the beginning of last year. Approximately 75% of our closed transactions were relationship driven and sourced off market. We remain flexible and opportunistic, pursuing a diverse set of senior housing investments across markets, asset types, operators, and return profiles. Reflecting our strong pipeline, we are raising our full year investment guidance to 1.5 billion. In summary, we had a strong start to the year, demonstrating solid execution across our senior housing platform. We remain laser focused on advancing parts one and two of our strategy. First, driving profitable organic growth by enhancing operating performance, optimizing pricing and occupancy, and leveraging our data driven Ventas OI platform in close collaboration with our high performing operators. And second, capturing value through external growth with a targeted focus on high quality senior housing acquisitions that meet our strategic and financial criteria. With favorable demand trends, a well-positioned portfolio, and a robust investment pipeline, we are confident in our ability to create long-term value and sustain our significant leadership position in the senior housing sector. Bob?
Bob Probst: Thank you, Justin. I’m pleased to report we’re off we’re off to a strong start for the year. I’ll review our first quarter performance, discuss our reaffirmed 2025 guidance, and close with our balance sheet, liquidity, and capital markets activities. Starting with our overall enterprise performance, we reported normalized FFO of $0.84 per share, representing nearly 8% year-over-year growth. Our total company’s same store cash NOI grew by 7%, led by SHOP increasing approximately 14%. Our outpatient medical and research business or OMAR reported same store cash NOI growth of 1.3% year-over-year. Adjusting for cash fees received in outpatient medical, Omar same-store cash NOI increased by 2.5% year-over-year. Outpatient medical grew by 3% adjusted for the aforementioned fees as fundamentals remain solid. Outpatient medical occupancy increased 30 basis points year-over-year with first quarter new leasing increasing 9% and tenant retention a strong 85% in the quarter. Our research portfolio same store cash NOI contracted modestly year-over-year. This $200,000 reduction in NOI can be explained by 30 basis points of lower occupancy. Pete and team continue to see a solid research leasing pipeline, including from universities. We are reaffirming our full year Omar same store cash NOI guidance range of 2% to 3%. And that’s a good segue to our updated 2025 full year outlook. After a good start to the year, we are reaffirming our previously issued guidance for full year 2025, including our earnings per share measures and property same store cash NOI ranges for each segment. As a reminder, our normalized FFO midpoint of $3.41 represents outstanding 7% year-over-year growth. And consistent with our communication in February, this FFO increase continues to be led by SHOP organic growth and accretive senior housing investment activity, partially offset by higher net interest expense, FX, and dilution from a higher share price. I would remind everyone that the all important senior housing key selling season begins in the second quarter and runs through September. We have updated our guidance for full year 2025 investments focused on senior housing from 1 billion to 1.5 billion as a result of a growing pipeline of deals. We expect the 500 million increase in the investment guidance to close later in the year. So net net, we expect the FFO contribution of the incremental investment guidance to be minimal for 2025. We’ve already largely funded the increased investment guidance with 1.3 billion in aggregate equity raised together with 200 million of disposition activity previously included in guidance and expected to close in the second quarter. Our balance sheet continues to strengthen as a result of SHOP organic growth and equity funded senior housing investments. Our Q1 net debt to EBITDA of 5.7 times represents a 30 basis point sequential improvement from year-end 2024 and a full turn reduction versus prior year first quarter. We expect further leverage improvement in the balance of the year driven by our senior housing growth engine. We also repaid nearly 1 billion of senior notes in the first quarter at a rate of approximately 3% utilizing the proactive senior notes we issued in September at approximately 5%. Our liquidity position is robust with available liquidity of $3.6 billion as of April 2025. This liquidity was bolstered in April by a 750 million increase in our revolving credit facility to 3.5 billion to support our growing enterprise. We had robust subscription from our bank group, which demonstrates their strong support of our platform. For additional 2025 guidance assumptions, please refer to our Q1 supplemental and earnings presentation posted to our website. To close, we’re pleased with our start to 2025. The entire Ventas team is enthusiastic about the future and focused on delivering superior performance for our shareholders. And with that, I’ll turn the call back to the operator.
Operator: Thank you. [Operator Instructions] The first call our first question comes from the line of James Cameron with Evercore. Your line is now open.
James Cameron: Good morning. Thank you. Justin, you always give great statistics on the SHOP update. And I’m just curious, what other color can you provide about sort of the dynamic when you get to 85, 80 seven, 80 eight type occupancy? How that translates to margin expansion? Pardon me.
Justin Hutchens: Hi. Yes. One of my favorite topics. So, we are, in this period of growing occupancy and and facing a period of significant more occupancy growth given the demand that Debbie outlined that we’ve been seeing over the past few years and especially over the the upcoming years. So this question starts to become more relevant the higher occupied you get. What we tend to focus on is simple rules of thumb. One is that when you get to 90% occupancy and you look backwards, you should have achieved around 50% incremental margin during that journey from 80% to 90% occupancy. Same when you get to a 100%. When you get to 100% occupied and you look backward to 90%, you’ll see about a 70% incremental margin. The operating leverage in the business is what allows for this. At a certain point, you’re fully staffed. Most of your expenses are expenses are fixed. You have some variability in expenses, why which is why there’s still some margin. But the it’s one of the powerful aspects of the business model and as we grow occupancy certainly, in itself is a great opportunity, but margin expansion is as well as occupancy growth.
James Cameron: Thanks. And then the genesis of the question is I was kind of looking at you need to provide very helpful information on the page 11 of the supplemental regarding the Canadian portfolio and maybe that’s a decent proxy, maybe it isn’t. I don’t know if the operating dynamics are that different. But you’re able to extract still perhaps double digit NOI growth at 95% occupancy because you seem to be getting 5% to 6% RevPAR growth. But at some point, you have no more occupancy to gain. But is it still achievable then to get double digit NOI growth from a portfolio at that time?
Justin Hutchens: Well, so first of all, we’re really happy to have a very high quality, high performing Canadian portfolio. It’s been an excellent contributor to NOI growth for us even at high occupancies, around 97%. It’s still been delivering. It’s one of my favorite examples around full being full in this sector. If you’re 90% or 92% or 95% occupancy, you’re not full yet. And Canada is demonstrating this to your point. So they’re at 97%. They’re still growing occupancy. We’ve had relatively good rate performance. We’ve had good increases, but we’ve also in terms of rent increases, but we’ve also had mix impact as our assisted living portfolio in Ontario has picked up occupancy growth, and that’s helped RevPAR as well. At some point, it’s probably not a double digit grower. This is something that’s probably more clearly in the single digits, but it’s been encouraging to see the performance in in recent years even at high occupancies.
Debra Cafaro: And Justin, Jim, thanks for noticing page 12. It’s a good new page for investors. And Justin, could you touch on really the two thirds of the portfolio where we have significant occupancy upside in the margin and NOI growth in that because that’s really a lot of where your efforts are focused with the team.
Justin Hutchens: Yes. So the on page 12, you’ll notice this is one my other favorite topics because it’s been a lot of work in the making to get to this point. We decided I’ll call it five years ago. When we got to this point where we are at today, we need to be well positioned to capitalize on the demand that we’re seeing in the marketplace. You could see it coming. We looked at our portfolio, and we started taking actions to make sure that we’re in the right markets, first of all, that would generate, strong net absorption and strong affordability. And to do that, we acquired a 90 communities. We sold over a hundred communities. We’ve transitioned over well over a hundred communities from the triple net structure to the shop structure. And what that did is it’s brought in communities that have lower absolute occupancy. So what this graph shows is that group’s 79% occupied. The rest of the U.S. is 84%. Canada, when you include everything because it’s outside of same store, we have some lease up communities there as well as 95%. The big opportunity for occupancy growth is in the U.S. And the portfolio, as I said in my prepared remarks, that low eighties occupancy is well positioned for a lot of occupancy upside, but it’s also in markets that should deliver that opportunity. And then when you layer on the actions we’ve taken through investments in the assets and making sure we have the right operators in place to deliver the successful outcome, we feel really good about how well positioned we are.
James Cameron: Thank you for all that information. I’ll get off the line. Thank you.
Debra Cafaro: Thanks, Jim.
Operator: Your next question comes from the line of John Kilichowski from Wells Fargo. Your line is now open.
John Kilichowski: Good morning. Thank you. I would just like to talk about the investments that you made this quarter and just kind of looking at the change this quarter versus last quarter. And I wanted to ask about basis. It looks like your cost per bed took a meaningful step up. I’m curious if that’s to do with the competitive landscape or just where you’re buying. And then also if you could give color on what’s replacement cost in the markets that you’re buying in. I’d like to know if, you know, you’re you’re operating still at a pretty steep discount or if we’re starting to buy above that.
Justin Hutchens: Hi. It’s Justin. Thanks. Great question. So when you look at the profile of what we bought, you mentioned, you know, the per unit numbers. It was around, what, $2.70 last year, $3.50 in this this recent tranche of 900 million. So there’s a step up in in the per unit values. A couple drivers behind that. One of them is that they’re newer communities. So we’ve had newer vintage communities that we bought in this tranche around seven years on average. Inherent in in doing so, you’re going to spend more on a per unit basis. They also happen to be in in as good as the as the markets were that we entered last year, these are even better. So we have, stronger affordability. We have better, net absorption and uncapped net demand. I mean, it’s a thousand basis points in net absorption, uncapped demand of 1,500 basis points. They’re in markets, that have, those characteristics, and then we also added some very high quality operators. So the quality of the portfolio, I would say, is a step up. The combined portfolio is going to deliver excellent outcomes for us. One other, thing that you noted that I’ll note is that there’s clearly some cap rate compression because we were reporting year one, yields of seven last year. In fact, I mentioned in my remarks, we’re realizing that as well. This year, we’re pointing to a seven two, so there’s compression. Having said that, we’re still investing within the range. So the weighted average, obviously, is into the lower sevens, but we’re still seeing opportunities that are up towards eight. So it’s a little bit of both. In terms of replacement cost, we’re still buying below replacement cost of significant discount to replacement cost even at the $3.50 a unit.
Debra Cafaro: Yes. And as we as we’ve discussed, the replacement cost is rising for a host of reasons including hard cost inflation, labor scarcity. And so, in most of these cases, you would expect the replacement cost to start with the 4, and so we’re still buying at a significant discount to that. And with unlevered return expectations in the low to mid-teens, which obviously is important when we’re looking at the risk reward proposition for these investments.
John Kilichowski: Alright. Very helpful. Thank you. And, Justin, just to confirm, you said a $7.02 is roughly the number you’re looking at for the entire 1.5 guide or am I misconstruing that?
Justin Hutchens: No. It’s the 900 million that we closed.
John Kilichowski: Sorry. The 900. Okay. Thank you.
Justin Hutchens: You bet.
Operator: Thank you. Your next question comes from the line of Michael Carroll with RBC Capital Markets. Your line is now open.
Michael Carroll: Yes, thanks. Justin, can you give us some more color on the performance of the Brookdale assets that Ventas is going to be taking over and or at least transitioning to the seniors housing operating portfolio? I know I think your prepared remarks saying that the EBITDAR is around $50 million. I believe last time the update was in the mid-fifties. So has that changed or should we expect that to change, when you start to transition those assets, when that occurs?
Justin Hutchens: Yes. So I’m probably going to hesitate to give you the exact number. We’ll give you we’ll update that when we get to the period of actually transitioning. But what I’m encouraged about is a couple things. First of all, these are communities that are in transition. So there’s always, heightened awareness of that and extra focus that we put on communities when that’s happening. The 45 communities that are transitioning to new shop operators are actually outperforming the least assets that are staying behind in a lease. That’s exceptionally supportive of the decision we made, but also just our encouragement around, where they should be performing when we actually make the transition. A couple things about that. So we’ve been on the ground quite a bit in these communities. We’ve been engaged with the five new operators that are taking them on. They’ve been in communities as well. I’ve visited several of these, and it seems pretty consistent with exactly what we expected, which is, when you have a these communities, very high quality communities that are located in rate markets, but can benefit from some additional focus and especially investment into the asset to be competitively better positioned. There’s a lot of excitement on the ground when you when you tell that story. So it’s been really fun to be interacting with the teams and laying out the game plan for when these transition later this year. And I do think it’s notable to point out that they’re outperforming, the rest of the current portfolio with the that we have with Brookdale.
Michael Carroll: And I know with most transitions, usually, is a period of disruption where you could see EBITDAR dip lower as you’re kind of moving in the new team. I mean, should we expect that to happen with these specific assets, or is it going to be more seamless than, like, the historical examples?
Justin Hutchens: Well, it’s a wait and see. But the I can tell you that we have through the number of let’s see. We’ve had almost 200 communities that have transitioned to new operators in our experience over the past several years. In that experience, particularly in this circumstance where you have a an community that’s performing behind market and will benefit from the new investment, we’ve seen good growth opportunity. Whether or not there’s a little disruption in the period of transition, we have seen growth to follow. I’m going to give you an example of this. We actually have a case study on that same page that that Debbie highlighted, page 12. We had 41 transitions that we completed in 2023. It was mostly independent living communities. Those communities are now in our same store pool. So in the first quarter, we were able to report on year-over-year results, and those results have been 820 basis points of occupancy growth. They’ve outperformed where we’re located in the next top 99 markets. We’ve outperformed by 480 basis points, and year-over-year NOI growth has been 40%. So when we look at the Brookdale opportunity, we have a lot of confidence in our ability to execute, and we’ll do everything we can to try to mitigate any potential disruption. But, of course, disruption can be inherent in in transitions, but the results that we’ve been realizing through our experience have been really good.
Michael Carroll: Great. Thank you.
Justin Hutchens: You bet.
Operator: Your next question comes from the line of Vikram Malhotra with Mizuho. Your line is now open.
Vikram Malhotra: Good morning. Thanks for taking the question. Justin, I guess, want to dig in a bit more into the March comments you made about sort of move outs. I know it’s unfortunate. Is that due to like flu or some specific properties? And has that trend continued into April?
Justin Hutchens: Hi, Vikram. It’s ironic you’re asking this question because we had a we had an interaction on the last earnings call around this topic of seasonality. And when we talked about it last time, I was mentioning that, we although there’s been some periods where we’ve had counter seasonal results, there’s always the opportunity to experience seasonality. And what I had in my mind at the time was the flu season around the U.S. was elevated. Interestingly, there’s no correlation in these clinical move outs and the flu season. In fact, it’s uncorrelated to any specific trend whatsoever. It just happened. And it’s important that that our investors understand that our move in activity is very good. It’s in line with last year, which is one of our best years ever. The tour activity, move in activity that we anticipate in the key selling season should be very strong. This was a move out issue, and it’s entirely driven by these clinical move outs, which are unfortunate. It’s a sad part of the business, and they’re unpredictable. That’s really the color I have on it.
Vikram Malhotra: No. Makes sense. You’re absolutely right. I did ask you the question. I think and you had said that you baked in normal seasonality into the guide. So, this is obviously in line with what you said. Just maybe on the pricing side, your full year still is four and a half. You had really good bumps, and you’ve kept that intact. So does that essentially suggest pricing power sort of accelerates through the year on a year-over-year basis? And, do you mind sort of giving us a view between Canada and the U.S? Thanks.
Justin Hutchens: Sure. So pricing, like I said in my prepared remarks, has been really good supported by internal rent increases. It’s supported by our street rate growth as well. In fact, when you adjust for the leap year, which is a simple calculation, you just add to the calculation for rev four is revenue divided by occupied units. You just add a step and divide by days, which is important, if you want to get to a good comparison when there is a leap year because we do have one operator that actually builds on a daily basis. So that number, when you when you run that calculation, is around 5%. So good, pricing year-over-year on a leap year adjusted basis around 5%. We’re off to a strong start. So, that’s the rest of the year remains to be seen. We have a lot of the year left to play out, and it it’s in what’s typically a good very it’s the strongest demand season for us in the key selling season. And then Canada, you mentioned too. So, Canada has had good pricing opportunity as well and we’ve had, in Quebec, we’ve had a little bit more opportunity to pass along rent increases because, the regulatory body that that oversees that has lightened up, the restrictions there, which has helped us to pass expenses through, which were which are always part of the operation every year. Ontario has always been a little bit better. It’s been a lot better for us, though, in recent years because of the lease up we’ve had in our assisted living portfolio, which is higher price points. So we’re getting a mixed impact as well. But good pricing power, an opportunity really across the board.
Operator: Alright. Thank you. Your next question comes from the line of Jeff Spector with Bank of America. Your line is now open.
Jeff Spector: Great. Thank you. Debbie, in your initial comments, you did talk about the high degree of macro uncertainty. Guess, but you guys have also discussed the strong move in tour activity. It sounds like through April, can you just walk us through a bit this leasing season and the importance of let’s say housing or anything else we should be watching as risk to the coming month to increasing that occupancy in senior housing? Thank you.
Debra Cafaro: Yes. Hi, Jeff. So, yes, there is a lot of macro uncertainty. We all know that, but what we believe at Ventas is that senior housing is one of the, if not the top asset class within real estate, and there’s a lot of reasons for that as you mentioned. The demographic demand is extremely powerful. The supply picture is as muted as it could be. And if it’s three years start to finish and you’re seeing increased cost to build and you have a step function in the senior population growth starting in 2027, you can see why these strong tailwinds should benefit us for a very extended period of time. And so we feel really good about that. In terms of the demand at the doorstep, as Justin likes to say, we are seeing, strong demand, and we this is the key selling season and so we have good expectations for strong activity. In terms of the housing market, there is modest correlation, and the housing market actually just saw a big jump in pending home sales. Most seniors don’t have mortgages on their homes. And our residents, when you think about the 75 population, the average net worth of those households is a million sick, so we continue to have good affordability. I said it was excellent. So all of these trends really combine to give us a lot of optimism about this extended multiyear NOI growth opportunity in senior housing that Justin and the team in collaboration with the operators is really focused on delivering.
Jeff Spector: Great. Thank you. And then clearly, the focus is on senior housing. Can you talk a little bit more about the strategy around the research portfolio? Thank you.
Debra Cafaro: Yes. I mean, our 123 strategy is really focused on senior housing with the first, of course, being driving organic growth, the second being expanding our participation and elevating our growth rate by investing in senior housing. And then the third is to maximize performance in the rest of the portfolio. The outpatient medical is at about 20% of that business, and it’s of our business, and it is going strong, continuing to deliver that compounding growth. Research is the smallest. It’s a single digit kind of NOI contribution all in. And our strategy is really what number three is, which is to maximize the NOI opportunity there. And what I would just leave you with on that is that we’ve built this life science portfolio differently, and that is it’s a, three quarters of the tenants are credit tenants, and we have a nine to ten year wall. And so that portfolio really was built to be steady and stable even during, more challenging times. And so we feel good about that even though that segment certainly has its some challenges right now. So our strategy is to maximize NOI, and it’s a credit business, and Pete and the team are going about doing that.
Jeff Spector: Okay. Thank you.
Debra Cafaro: Thank you.
Operator: Your next question comes from the line of Richard Anderson with Wedbush. Your line is now open.
Richard Anderson: Thanks, good morning. Justin, you talked about the Brookdale transitions to RIDEA, the assets outperforming those that are staying behind in the net lease model. I guess the question is, how much money are you leaving on the table there? Did you foresee that delta, when you made the deal with them? And, just curious, if you had just sort of done everything all of it as opposed to some leaving some behind with Brookdale, if that would have been the better option.
Justin Hutchens: Hey hey, Rich. You broke up Let me through, I think…
Richard Anderson: Okay. I’ll use my…
Debra Cafaro: Rich, we’ll take that offline, but I think it’s fair to say that the entire Brookdale portfolio is generally improving in performance. We like the 45 assets that we’re moving to shop and the that are remaining are also, performing well. And the way that we’re improving NOI in that remaining lease is through a significant rent increase on lease renewal. So we’ll come back and get back to your question because you broke up offline.
Richard Anderson: Okay.
Operator: All right. Your next question comes from the line of Omotayo Okusanya with Deutsche Bank. Your line is now open.
Omotayo Okusanya: Yes. Good morning, everyone. So I guess focusing on shop, I mean, clearly, the way the stock is before business morning, I think there’s some concern just around same store NOI growth kind of slowing this quarter relative to the 15% plus you’ve kind of been putting up. I don’t know whether you can kind of talk to that, whether there were just some idiosyncrasies with this quarter. I think you just kind of mentioned some move out activity in March. And kind of going forward, how once you kind of think about, hitting it to the lower or higher end of your 11% to 16% full year guidance?
Bob Probst: Yes, Omo it’s Bob. I’ll take that one. So we’re pleased with the first quarter 14%. Very good start, in fact, above our expectation internally. And that was really that was RevPOR that was labor, so a good start there. And we’ve highlighted multiple times so far that in terms of phasing, we expect the second half on a year-over-year basis to be higher than the first half. And as always, beat the drum here. It’s the key selling season that is the determinant of that. So from our where we sit, strong start, ahead of expectation in the quarter and the phase inconsistent with what we’ve been saying.
Omotayo Okusanya: Okay. I guess the pushback is, again, if you just kind of take a look at seasonally in 01/2024, you are kind of above your current same store NOI growth. And I don’t know whether it’s again, whether it’s just harder to get you over your occupancy gains. I guess just trying to figure it out of getting people comfortable with the idea that the higher end is achievable.
Justin Hutchens: Alright. Let me address this, Justin. So as we look ahead, like I was saying, we have, significant occupancy upside in the portfolio. There’s various things that impact performance at different times. I remember last year, we had agency coming out of system, that was benefiting expenses, and so that that gave us an opportunity for outsized performance. What we have happening now, and I was trying to articulate earlier, is a lot of action that is underway, but the best is yet to come so we have a strong conviction around the growth opportunity. Like I said, we have a hundred more projects that we’re refreshing this year that are they’re underway. We have all these new operators that we have added, a lot of which, are coming through acquisitions, others that we’re bringing in to through transitions over time that we’ve done. They are getting they are finding their sea legs. And so and we’re never ever stopping focusing on trying to improve performance. I mean, this is this will be a continuous improvement in performance opportunity. My team fixated on that. So we’re not ready to say we haven’t seen the that we’ve already seen the best we’re going to see. I mean, we’re just now also getting into the strongest period of demand that the sector’s ever seen by a long shot. So I think the best is hopefully, all things considered equal, the best is yet to come.
Omotayo Okusanya: I appreciate those comments. If I may ask one more just on the on the life sciences, the part of the business. Again, Debbie, just with this potential change in NIH funding where the indirect cost match from the federal government can get capped at 15%, have you taken a look at just how high that number has been at all the universities you’re involved in and whether that could become a real issue going forward?
Debra Cafaro: Thanks, Tayo. Yes. We do business with the leading biomedical research institutions in the country, and we have a detailed understanding of the so called indirect cost. I would I would tell you that it first of all the proposal that the administration put forward is on hold, and so it has not been pushed through. If it were to be pushed through, there would be an impact that would be, on average, maybe a, mid-single digits impact to the overall research budget for most of the leading universities, and that is manageable in light of the AA credit rating that we have in our portfolio for the university tenants as well as the nine to ten year walls. So these are juggernauts who have a lot of resources to weather the storm.
Omotayo Okusanya: I appreciate that. Thank you.
Debra Cafaro: Thank you, Tayo.
Operator: Thank you. Your next question comes from the line of Juan Santabria with BMO Capital Markets. Your line is now open.
Juan Santabria: Hi. Just on the acquisition front, given the $500 million incremental that’s added to the guidance that you said is back half loaded, is there the expectation then or should we be thinking that there’s maybe a temporary pause until deals that are reloaded? Is that fair to kind of assume just given the timing of your guidance? Or is there other stuff that could fill the interim that could happen pretty quickly here?
Justin Hutchens: Hi. It’s Justin. So, I just stepping back for a minute. One thing I highlighted in my prepared remarks intentionally was the amount of the 2.8 billion that we’ve done. Most of that over the past year, including being last year, happened over the last six months. And so we’ve had this acceleration of investment activity. We, added another 500 million. We have good line of sight on the 500. We have a pipeline that that is much bigger than that. So we’re going to keep working on finding opportunities within the pipeline and some that are maybe not there yet that have, the criteria that we like, which is, first and foremost, an asset that will deliver, strong IRRs. It’s low to mid teen unlevered IRRs. And we’re flexible with the type of assets we’re looking for. We’re looking for a good combination of high quality, strong markets growth. That’s all completely continuing, Juan. It can be lumpy, like because you have, you have a period of time where, you are working, access a deal and then you work to close the deals. And so there can be lumpiness in terms of when you actually deliver deals to close, and I think that’s the point we’re trying to make.
Juan Santabria: If I could ask a follow-up on the shop and the clinical move outs. You noticed noted a kind of a lower endpoint or starting point for the second quarter. Would you guys be able to or can you provide the March 31 year-over-year figure or the occupancy was on for the same store pool just so we can calibrate and kind of fully take into account that that move out impact?
Bob Probst: Yes. Juan, so I want to make the first point, which is moving strong. First quarter, expect to be strong. Second quarter, we were 290 year-over-year first quarter. We reaffirmed 270 full year balance of the year. Clearly, the jumping off point or start point of the second quarter is lower because of the mortality that Justin mentioned. And clearly, in reaffirming the guide, if you just do the math balance of the year, it’s below that 290 number. But, I think it’s right to say we shouldn’t not look at spot numbers. We should look at trends. We should look at, the year and really focus on the on the move ins and the key selling season, which is right in front of us. So that’s how we think about it.
Juan Santabria: Thank you.
Operator: Your next question comes from the line of Seth Bersy [ph] with Citi. Your line is now open.
Unidentified Analyst: Hi, guys. Thanks for taking my question. Kind of going back to the yields, is there any thought about acquiring more type of four plus assets versus the newer, maybe better position in the market assets where you can leverage the Ventas platform, your network of operators and Ventas OI to kind of drive a higher yield?
Debra Cafaro: Hi, Seth. It’s Debbie. I would definitely confirm that we are eager to deploy capital, when the acquisition or investment opportunity provides good risk adjusted return, when it provides the kind of low to mid-teens, unlevered IRRs that we’re looking for, which is which is paramount when we can buy below replacement cost. And our aperture for investments is, pretty broad based, and we certainly will consider different types of profiles to get to the that unlevered IRR. They could be lower occupied, higher occupied, but it’s all about the risk adjusted return that we see in the asset and the replacement cost, and that’s really where our investment team is focused.
Unidentified Analyst: Great. Thanks.
Operator: Your next question comes from the line of Austin Wurschmidt with KeyBanc Capital Markets. Your line is now open.
Austin Wurschmidt: Great. Thanks and hello everybody. Bob, you hit a little bit on my first question, which is going to be that the comment you previously made about expecting same store growth in senior housing to be better in the second half versus the first half. Can you just give us what the biggest drivers of that improvement is? Because clearly, you alluded to occupancy being lower. So is it RevPOR growth reaccelerating versus the first half of the year? Is it something on the expense side that’s driving that reacceleration or just changes to the same store pool? Just any color you can shed on that. Thanks.
Bob Probst: Well, I would I’d really point to what we saw in the first quarter so far and, kind of the balancing items. Obviously, the demand was strong in the form of move ins, and the key selling season is the vast majority of the full year move ins. So that’s point one. As you go down to the P&L, we mentioned RevPOR was was favorable in the first quarter, both in terms of in place and street, both performing well. I would highlight on the OpEx, which we really haven’t talked about, 5% on OpEx in the first quarter year-over-year, in line with our full year guide. When you unpack that, and we gave this in the in the deck, you can see labor versus non labor are actually trending quite favorably, and that’s very encouraging. And so as we look at it, the composition of it, that first quarter is encouraging, and I’m going back to the key selling season, but that’s what we saw so far.
Austin Wurschmidt: Got it. And then, Justin, maybe what do you attribute to the reacceleration in RevPOR growth on a leap year adjusted basic basis, is it more mix related to the assets where you’re growing occupancy? Or is it more function of the street rate growth you guys have highlighted a few times?
Justin Hutchens: Yes. So we have a very deliberate effort through our OI platform and the team that delivers those insights to our operators to focus on price volume optimization. And in doing so, we’re looking for, quite frankly, just to be priced right. We all set pricing, but we give guidance in terms of where we think the opportunity is to either obtain price or to deliver, occupancy growth. And through those efforts, we’re seeing, encouragingly moving rents have been, stronger than we’ve seen in recent years. So we’re starting to see a pickup on from a street rate slash moving rent standpoint. We had 7% internal rent increases, and I always like to remind everyone, Debbie especially does too, that we still have relatively low occupancy. So we’re put we have good price opportunity even in occupancy that’s, around 84% in the U.S. Canada is also benefited from those trends, but it’s also benefited, from the mix shift as well. But the U.S is more around the deliberate actions that that our operators have taken with some insights from us as well to deliver better pricing.
Operator: Thank you. Your next question comes from the line of Michael Stroyak with Green Street. Your line is now open.
Michael Stroyak: Thanks and good morning. Maybe going back to the research segment. Can you just remind us how much of the tenant base is in the traditional biotech sectors and what the average wall is specifically on those leases?
Debra Cafaro: I’m going to turn it over to my colleague, Pete [ph], for a second. But, again, 75% of the single digit NOI that we get kind of all in from research is credit tenants with well, it’s between 9% and 10%. So in some senses, Michael, it’s a inverse of that, but I’ll turn it over to Pete to provide more specifics.
Unidentified Company Representative: Sure. Yes. So as Debbie said, about three quarters of the tenants are investment grade in 50% are universities with that AA rating. So it’s really a strong tendency, very different than most. Just to give you a perspective, at Shear, we have about 6 million square feet of space in the research portfolio, and only 148,000 square feet are in the three most stressed, cities, which is San Francisco, Cambridge, and San Diego. So it’s a very different portfolio that’s been built. Having said that, about the remaining 25% is a mix of retail, biotech, flexible innovation space, and so forth. And about half of that are revenue generating, they’re kind of past their inflection points. So we think about roughly 12% of our portfolio is kind of the earlier stage biotech or innovation flex space. And at least terms for those are typically for the innovation spaces, those are ten years plus and for the, pre revenue biotechs, they’re usually five to seven years.
Debra Cafaro: And, Michael, one final point on this. I mean, it, I believe Bob mentioned it, but we are continuing to see, really good institutional demand, for the portfolio. And that really runs across highly rated university users, medical research and medical users, and some of our non cluster markets which have basically no new supply. So that when I mentioned that these organizations are juggernauts, I mean, they’ve got, fifty to hundred year plans. And we really are in a in a good position because we’re seeing very current LOIs, leasing active activity, and other interest from these institutional users in the portfolio, and we’re trying to take trying to capitalize on that. So the near term on those users, continues to show good activity and interest.
Michael Stroyak: Got it. That’s helpful. Maybe just sticking with that point then, like, where do you expect occupancy to trend over the next twelve months within the research portfolio?
Debra Cafaro: Well, again, right now, we’re reaffirming the Omar, same store cash NOI growth of 25 to 3%
Bob Probst: I would highlight in the total research portfolio that we have a number of the assets in up in redevelopment mode, notably in Philly, which is having an impact on occupancy. But, we believe that those redevelopments are going to be value creating, and so that’s a it’s a timing issue.
Debra Cafaro: Thank you.
Operator: The next question comes from the line of Ron Camden with Morgan Stanley. Your line is now open.
Ron Camden: Great. Hey, just two quick ones for me. Clearly, conversions really jump out and the success that you’ve had. I think I asked this last quarter as well, but as you’re sort of relooking the NNN portfolio, is there ways to creatively create more conversion opportunities? Just can you talk us through just know, the puts and takes there? Because it would seem like, financially, it would make a lot of sense to do more.
Justin Hutchens: Hi. It’s Justin. So we’ve certainly have put a lot of energy into that, given the number of conversions we’ve had. We’ve talked about Brookdale. One we haven’t talked about yet is the U.K. I mentioned in the prepared remarks that we have new operator, and that came by way of converting triple net to shop. There’s 11 London area and Southeast England area care homes that were in a triple net portfolio. They’re now shop. They’re operated by CCG, who is an operator who has who’s known for turnaround, redev, and they’ve grown their enterprise to a hundred locations across England, Scotland. So we have that right operator. We’re in some markets that I’m particularly excited about. One is we’re right in between Walton On Thames and Richmond On Thames. And if you know that that part of the of England, you might know Hampton Palace, which is a great place to visit. It’s my old stomping grounds. Our location is right near the river, great campus, very well run care home that has particularly very strong price and occupancy opportunity with investment. So with the right operator and with the right investment into the community, I’m really excited about that and several of the other locations. And I’m also excited to have a shop portfolio in the U.K. now so we can we can, you know, lean in a little bit, over time into that market, which also has very strong fundamentals. Having said that, the U.S., remains our first and foremost priority, and we have tremendous opportunity in the U.S. But we do keep looking for opportunities to convert from triple net to SHOP, and that’s the most recent example.
Ron Camden: Great. Helpful. And then I just want to go back to the acquisition slide in question. I think the slide makes it looks like cap rates are compressing 50 basis points, which this may not be apples-to-apples. But I guess I’d love to hear more competition, cap rate trends, bit more color on that, on what you’re seeing in the pipeline? Thanks.
Justin Hutchens: Yes. It’s it I mean, it these are when you compare the activity of last year to the activity this year, these are two big samples, of what we’re what we are able to demonstrate in the market. One was seven last year, seven two this year. So clearly, there’s cap rate compression. But it’s also still in our stated range that, quite frankly, we established a year and a half ago, of seven to eight. And then unlevered IRRs IRR still remain, is really exactly where they were, which is, low to mid-teens and, a great opportunity to acquire both yield and growth, in these communities that we’ve been purchasing. There is more competition. And clearly, given how strong the senior housing fundamentals are in the sector and the standout asset class amongst real estate, more players are coming to the table. But that’s when the advantage platform that Ventas has really starts to shine. We enter deals, with the track record of having closed, all these recent transactions and a credibility of delivering out what we say we’re going to do. We deny a financing contingency when we enter deals. We have a platform to manage scale and senior housing that is unrivaled, by the entire capital sector that faces the industry except for one peer. And, therefore, we feel very good about our opportunity to continue to compete. And we are also benefiting from the relationships we have in the portfolio. Like I said, 75% of our deals have been born, of these relationships, and it that’s advantaged us as well. So, yes, we’ll see more competition, and we’ll also be ready to continue to compete.
Operator: Thank you. Your next question comes from the call of Nick Yulico of Scotiabank…Okay.
Nick Yulico: I’ve experienced that a lot in my life. Good morning, everyone. So I guess just maybe just going back to the commentary on the move outs in March, the clinical outcomes. I was just hoping to get a little bit more of maybe the math, you could flesh that out a little bit because I think what we and some others are kind of struggling with right now is if you have 60,000 units in your senior housing same store pool, how could mathematically your occupancy really be affected by some level of clinical move outs?
Justin Hutchens: I mean, it’s the we’re not probably going to get into the exact numbers, but the simple answer is our move in activity was consistent with last year. Our move out activity was higher, and it’s driven by the mortality rate being high. So you just have a relative to our original expectation, you have, a lower jumping off point. And they happen late in the quarter, and that’s what impacts the jumping off point. So it does have an impact. I mean, just like, conversely, the key selling season, which was which is substantially all of the net movement activity happens, that has the opposite impact. We tend to see around 10% more move ins during that period. Usually, see around 5% less move outs. Together, that’s what the key selling season delivers, May to September and delivers all that occupancy growth that that we hope to see again this year. So that’s just how the seasonality tends to play out.
Nick Yulico: Okay. And then and then, I guess, just going back to I know you your company, others in the industry have moved away from wanting to give monthly data. And I think it was asked earlier about where was March occupancy and so I guess I’ll try asking again about if there’s any way you could give a feel for how March occupancy is, how April is trending. And the reason I’m asking is that I think you guys kind of opened the door to this being a natural question when you said that the jumping off point is lower to start in the second quarter. As everyone’s looking at testing your guidance assumptions, I know you’ve already said that you feel good about your full year guidance, but people are thinking about impacts potentially to the guidance or even how you could exceed guidance, it would be pretty helpful to understand where March and April occupancy is for the portfolio.
Bob Probst: Yes. I think you’re right, Nick. To say that the industry has gone away from that sort of, timing in light of the fact is we should all be focused on the trends. I’ll say again, you can do the math and say in 290, first quarter270 full year plug, and that gives you a number which is a start point, a reasonable approximation of the start point. So beyond that I would just keep our eyes focused on the trends in the longer term, you know, notably the key selling season right ahead of us.
Justin Hutchens: Okay. Thank you.
Debra Cafaro: Thank you, Nick Yulico.
Operator: Thank you. And then final question comes from the line of Mason Guel with Baird. Your line is now open.
Mason Guel: Thank you. Good morning, everyone. Do you expect independent living occupancy growth to continue outpacing assisted living throughout 2025, and will the gap be consistent with the first quarter?
Justin Hutchens: Hi. It’s Justin. So, historically and currently across the sector, independent living does tend to have a higher absolute occupancy. It’s also been a strong, contributor of growth for us, you know, in The US around 370 basis points where assisted living was which was also very strong of 300 basis points. So we’ve had a lot of portfolio actions that have been directed towards independent living, putting it, you know, operators and investments in the portfolio, but it’s also been the case for assisted living. So we will anticipate growth really in in both categories of senior housing moving ahead and hope that they both continue to be really strong as we get into this key selling season.
Mason Guel: Great. And have you seen a notable difference in competition for independent living versus assisted living product?
Justin Hutchens: And do you mean in In investment? From a consumer standpoint or from an acquisition standpoint?
Mason Guel: From an acquisition standpoint. Oh, from an acquisition standpoint? Acquisitions. Yes.
Justin Hutchens: Yes. So we’ve been focusing by and large on campuses that offer a combination of services, independent living, assisted living, memory care. For the most part, it’s been it’s been those three services. On a campus, sometimes there’s it’s an assisted living memory care combination. There’s been some independent living that are freestanding that we purchased as well. I’m talking about over 70 communities that that we’ve invested in over the over the past since the beginning of last year. So, yes. We there’s competition for the highest quality assets, which is what we’ve been pursuing. And we’ve been, pursuing communities that are high performing with upside. One of the things that really helps us to compete is the preference among our operator relationships. That’s been that’s played a key role for us, and that is that they want to work with us and continue to work with us. And there’s lot of new operators we’ve added as well. So when we find ourselves in a competitive situation, that’s one aspect that’s helped helped us to win deals. Obviously, our financial strength and flexibility is another aspect, and then a track record, with counterparties, as an acquirer of assets is excellent. So we like our opportunity to continue to compete and even for the best the best assets.
Mason Guel: Great. Thanks, everyone.
Operator: Thank you. That’s all the time that we have questions for today. So I’d like to please turn this back to Ventas Chairman and CEO, Debra Cafaro, for closing remarks.
Debra Cafaro: Thanks, Amy. So to conclude, Ventas delivered strong results in the first quarter. Demand for senior housing is strong and getting stronger, and supply remains highly constrained. The multiyear NOI growth opportunity driven by senior housing is well underway with eleven quarters in a row of double-digit NOI growth, and yet the best is still ahead. So we look forward to seeing all of you soon to discuss this and more, and hope to see you in New York. Thanks.